Operator: Good day and welcome to the Contango Third Quarter 2020 Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Wilkie Colyer. Please go ahead.
Wilkie Colyer: Thank you. Good afternoon and thank you for joining us for our third quarter 2020 earnings conference call. My name is Wilkie Colyer, and I'm the Chief Executive Officer of Contango. Joining me this afternoon on the call are Farley Dakan, the Company's President; Chad Roller, the Company's Chief Operating Officer; Joe Grady, the Company's Chief Financial Officer; and Chad McLawhorn, the Company's General Counsel. Hopefully, everyone has had an opportunity to read through this afternoon's press release, including the cautionary statements regarding forward looking information and non-GAAP measures that apply to the statements on this call. Also, I will make reference to a presentation posted to our website in the Events & Presentations tab called Central Oklahoma LOE Reductions. So please pull that up if you'd like to follow along.
Operator: Thank you.  It appears we have no questions at this time. I would like to turn the conference back to your hosts for any additional or closing remarks.
 :
 :
Wilkie Colyer: Thank you, and thanks everybody for taking time to hop on the call and hear about our third quarter earnings. We continue to be really excited about where we're at in the current environment and look forward to updating you guys in the near future. Thank you again and have a great evening.
Operator: And that concludes today's presentation. Thank you for your participation. You may now disconnect.